Operator: Good day ladies and gentlemen and welcome to the Renewable Energy Group, Inc. Q2 2021 Earnings Conference Call. After the presentation there will be a question-and-answer session.  At this time, it’s my pleasure to turn the floor over to Mr. Todd Robinson. Sir, the floor is yours.
Todd Robinson: Thank you, Tom. Good day everyone, and welcome to our second quarter 2021 earnings conference call. With me today is REG’s President and Chief Executive Officer, CJ Warner; and our new Chief Financial Officer, Craig Bealmear. We intentionally moved our earnings call to the morning in an effort to allow our international investors an opportunity to participate in the call live. Let me cover a few housekeeping items before I turn the call over to CJ. First, I would like to remind everyone that this call is being webcast and is available on the Investor Relations section of our website at regi.com. A replay will be available on our website later this afternoon. The webcast includes an accompanying slide deck, which will appear automatically with the webcast, but you will need to advance the slides manually as we prompt you. For those of you dialing in, the slide deck along with the earnings press release can be downloaded from the Investor Relations section of our website. Turning to Slide 3. We would like to advise you that some of the information discussed on this conference call will contain forward-looking statements. These statements involve risks and uncertainties that are difficult to predict and assumptions that may or may not prove to be correct. Such forward-looking statements are not a guarantee of performance. The company’s actual results could differ materially from those contained in such statements. Many factors could cause or contribute to those differences. These factors are described in detail in the Risk Factors and other sections of our Form 10-K and subsequent quarterly reports on Form 10-Q, which are on file with SEC. These forward-looking statements speak only as of the date of this call. The company undertakes no obligation to publicly update any forward-looking statements based on new information or revised expectations. Today’s discussion also includes non-GAAP financial measures. We believe these metrics will help investors assess the operating performance of our core business. Please see the press release or the appendix to the accompanying slide deck for a reconciliation of the non-GAAP measures to the most comparable GAAP measure. With that, let me turn the call over to our President and CEO, CJ Warner. CJ?
CJ Warner: Thank you, Todd, and welcome to our callers. I'm pleased to report another strong quarter delivered in an unusually volatile market environment. Just a year ago, we were publicly commenting on the first full quarter of headwinds caused by the COVID-19 pandemic and the crude oil price collapse. We've emerged from that point in time and all of the macro economic challenges that followed on a strong financial base, managing through the many uncertainties and market swings while operating well and continuing to build value. This has been a period, which has been both challenging and energizing for our team. We believe our results are a testament to the dedication and resilience of our employees and partners and the robustness of our diverse portfolio of assets. And they demonstrate the underlying strength of demand for sustainable clean fuels. We also believe our performance over the past 12 months reinforces our message that we have indeed built a position to be in the right place at the right time. As we'll discuss throughout the call, the markets in the quarter were on average supportive given our particular assets and optimization capabilities, and they were also volatile. To succeed in such an environment disciplined execution is a must. As shown on Slide 4, the REG team executed well delivering net income of $79 million, adjusted EBITDA of $103 million and 163 million gallons sold. In the end, we were able to capture upside and exceed our guidance, primarily through commercial optimization, including leveraging our multi-feedstock capabilities, targeted product placement, and strategic sales approach. We believe the diversity of our portfolio is a significant competitive advantage that enabled us to achieve our performance in the quarter.  Before unpacking our strong financial performance any further, it is important to mention our most crucial performance parameter and a core value, which is health and safety. I'm proud to say, we have a low incident rate year to date, including zero known workplace COVID transmissions in 2021. Our rolling 12-month total recordable incident rate, which includes any workplace COVID transmissions is shown on Slide 5, and remains below the pre-COVID industry average. While our rolling 12-month incident rate has increased slightly, we've doubled down on our efforts to achieve Vision Zero and our year-to-date performance is on an improving trajectory versus the prior six months period. We are also committed to the core value of driving results collaborating as a team to deliver tangible top and bottom line returns. This emphasis on results enabled us to deliver significant profit generation in second quarter; gross profit was up over 400% versus second quarter 2020, driven by improved realized margins made possible by wider differentials between feedstock types. We were able to capture the upside potential by optimizing our production and shifting our feedstock mix to a higher percentage of lower carbon intensity raw materials. Risk management gains and higher RIN prices were also positive factors contributing to increased profitability. Slide 6 outlines the general drivers or performance in second quarter 2021 as compared to second quarter 2020. As we will all recall, and likely never forget, second quarter 2020 was extremely challenging. It was the first full quarter dealing with the physical, social, psychological, and financial impacts of the pandemic. And since that time, we've all learned much. Many of the COVID associated headwinds impacting our business have subsequently faded, and we had a somewhat more certain market within which to navigate. However, the second quarter 2021 market continued to be exceptional in other ways. As shown on Slide 7, soybean oil prices rose 20% over the course of the quarter with much inter-quarter volatility, driven by a variety of concomitant forces, including ongoing crop uncertainty, prior season harvest issues resulting in very low inventories of both soy and palm oil, growing energy based demand and with restaurant attendance revitalizing a 1 billion pound increase in human consumption of refined soybean oil year-over-year. As you can see in the chart on Slide 8, physical stocks of soybeans and soybean oil are clearly below near-term historic levels, which has motivated the soybean crushers to raise prices of SBO to slow consumption. Back to Slide 6, REG was able to realize upside within these market dynamics. The rise in soybean oil prices did pull along other bio-based diesel feedstock prices, but to varying degrees, creating upside potential for our bio-based diesel plants with lower carbon intensity or low CI feedstock upgrading capabilities. Note, that for our products sold in carbon incentivized markets, our upgrading margin enjoyed the double benefit of the feedstock cost differential and the enhanced credits realized by a lower CI pathway. Operational performance remained strong during the quarter, total production was flat year-over-year, total biodiesel production was down as we chose to run less of the relatively costly soybean oil and as such shifted our product mix to less refined veggie oil based biodiesel. Offsetting this decline was an increase in renewable diesel production due to our record quarter production at Geismar, as well as year-over-year quarterly turnaround timing differences. Strong production rates at Geismar reflect on the excellence of the Geismar team and the success of the improvements made during the first quarter turnaround. It was a strong quarter for the manufacturing team overall, as our Mason City, Newton, and Emden plants also set quarterly production records. Kudos to the teams at these facilities for delivering outstanding results. Continuing the volume discussion and moving to sales, gallons sold were down 11% versus last year, partly due to the production optimization mentioned earlier, where we proactively reduced soybean oil conversion that resulted in fewer veggie oil based biodiesel gallons being sold. The drop is also due to product slate optimization and sales of higher level biodiesel blends, which enabled us to reduce the volume of lower margin petroleum diesel gallons blended and sold. Finally REG gallon sold were down due to planned optimization choices and timing. We did see an increase in North American renewable diesel sales as we shifted sales to the California market and away from Norway. REG Ultra Clean, our proprietary biodiesel renewable diesel blend, which offers outstanding fuel qualities and strong carbon reduction now for our customers continue to be a standout performer as shown on Slide 10. As you can see on the slide, these sales are up 68% year-over-year with an 85% CAGR since 2018 and the continued upward sales trend shows that there's clear customer enthusiasm for our high performing low carbon fuel. While REG Ultra Clean is a clear standout, bio-based diesel in general is enjoying growing demand as reflected by industry data. Slide 11 shows bio-based diesel's continued outperformance of diesel jet and gasoline since the beginning of 2019. Even through the pandemic, bio-based diesel demand is up 9%, while middle distillate and gasoline demand is not yet fully recovered. As a pure play in the bio-based diesel industry, REG is proud to be able to serve this uptick in customer demand. We met this demand with a flexible feedstock approach enabling us to navigate through even highly significant market swings such as what we experienced in second quarter 2020. Recall that last year, we shifted into a relatively high soybean oil mix when feedstock supply chains were heavily disrupted by COVID and soybean oil was available and attractive at the time.  Since then, the markets have moved and we've shifted back to a more normal REG feedstock mix as you can see on Slide 12, using just under 80% lower carbon feedstocks and production during the quarter. This strategy takes full advantage of an ability to procure, pre-treat, and process a wide variety of feeds. During the quarter, we processed 14 types of feedstocks from approximately 275 origins and approximately 100 unique suppliers. Our global presence enables sourcing from multiple continents and adds to feedstock assurance. Of course, in addition to feedstock differentials, the key margin in our business is HOBO + 1.5xRIN. Alongside an overall spike in feedstock pricing, the HOBO + RIN spread remained on average over the quarter fairly stable as shown on Slide 13. As you can see on the slide, RINs continue to function as designed, adjusting with increases and decreases in the soybean oil and heating oil market to incentivize production. The HOBO + RIN spread was up $0.07 compared to the second quarter of last year. Speaking of RINs, we hear and expect that the EPA should be releasing the proposed 2021 RVO sometime later this year. This follows the recent Supreme Court ruling on the small refinery exemptions.  While we're disappointed the Supreme Court didn't uphold the 10th Circuit’s ruling on eligibility to request RFS refinery extensions, it's important to note this decision does not make it easier for refiners to actually receive an RFS exemption extension, it simply allows them to request one. Refiners must still prove economic harm directly related to compliance with the RFS, and the approval for these exemptions still lies with the EPA.  We remain confident that the Biden administration will continue to prioritize climate change, and the growing use of low carbon bio-based diesel is a vital part of the solution. Regardless of what happens with the RVO, there is no dispute that emissions resulting from the combustion of fossil fuels are a large source of greenhouse gases. Increasingly, society recognizes that transportation must become more sustainable and low carbon cleaner viewing burning fuels like biodiesel, renewable diesel, and REG Ultra Clean offer an immediate, easy, and relatively low cost solution for transportation to grow sustainably. As more governments begin to recognize the need to decarbonize now, we are seeing positive developments on the policy front. At the federal level, bipartisan members of Congress introduced bills to extend the biodiesel tax credit or BTC in both the House and the Senate. The proposals would extend the $1 per gallon BTC for three years through to 2025. Though still in early stages, these signal more certainty  markets. There have also been many encouraging developments for our industry at the state level highlighted on Slide 15. New usage standards for biodiesel in heating oil were passing Connecticut and Rhode Island, and we are awaiting Governor's signature for similar legislation to pass in New York. We believe these usage standards are bullish signals for REG as heating oil is primarily a biodiesel market and creates incremental demand for that portion of our portfolio. Additionally, we continue to see momentum in other states as governments at all levels are making efforts to pass legislation that increases the use of bio-based diesel. Outside of the U.S., the Canadian Clean Fuel Standard is under discussion and anticipated to come into effect late 2022, and the Fit for 55 RED II revision recently released in Europe, includes many provisions that are set to strengthen demand for renewable fuel. With this growing foundation of regulatory support and customer demand, we're confidently moving forward with our long-term strategy. We are progressing into construction phase of our Geismar improvement and expansion project, which Craig will describe more fully in just a moment. I think, I speak for our entire team when I say, we are excited to be on track and underway with what we are convinced is a strategically advantaged growth project. Our successful green bond issuance during the quarter solidified financing for the project and highlighted the ongoing desire for cleaner fuel in the market as we saw a robust demand notably from many ESG investors. The Geismar improvement and expansion project will take total site production capacity from 90 million gallons to 340 million gallons, enhancing existing operations and improving operation reliability and logistics. The combined project is expected to be mechanically complete in 2023 with full operations in early 2024. The expansion has been welcomed by the local community and the state of Louisiana as a robust driver of economic and environmental value, furthering the energy industries transition to sustainable fuel and business practices. In October 2020, Renewable Energy Group and the state jointly announced the plans for this project and the company has received an incentive package that contains comprehensive workforce support and tax incentives. In addition to advancing into the construction phase at Geismar, we also recently unveiled a global partnership with the Manchester United Football Club. We intend for this partnership to raise international awareness of biodiesel as a premier low carbon option. Manchester United is a perfect partner to help us in this mission. They are one of the most popular and successful sports teams in the world watched in 188 countries and holders of our record breaking 20 league titles. As a football or in the U.S. Soccer Club, they play one of the most popular sports in the world and are a rapidly growing spectator sport in the U.S. Like us, they are pioneers in their industry when it comes to sustainability, launching a carbon reduction program in 2008, and reducing greenhouse gas emissions each year since. As a premier provider of sustainable fuels that are reducing carbon globally right now, REG is the perfect partner for the club. We believe this partnership with Manchester United will increase global awareness of the availability, positive features, and ultimately the use of sustainable liquid fuels as a viable solution that makes it easy for customers to choose low carbon fuels that make a difference now. With our fuels and Manchester United’s fans – their fan base, together we have one goal, to fuel a cleaner world. We're focused on getting our message out more powerfully to help stakeholders understand what a compelling option we provide in the overall effort to accelerate the transition to cleaner, more sustainable energy. Bio-based diesel not only offers significantly lower tailpipe emissions than petroleum diesel. It also provides 65% CO2 reduction versus an electric vehicle powered from the standard U.S. electric grid, and it's available commercially now. There is a tremendous need for both biodiesel and renewable diesel today and the used cases for the fuels are growing. Meanwhile, REG’s efforts to produce growing quantities of bio-based diesel are having a measurable positive effect on reducing CO2 emissions. Slide 17 shows REG's contribution of over 1.1 million metric tons of reduced carbon emissions just for second quarter 2021. And with that, I'll now turn the call over to Craig to review our financial performance for the second quarter. Craig?
Craig Bealmear: Thank you, CJ, and good day everyone. Slide 18 shows our second quarter results. As CJ discussed, second quarter performance was very strong. Starting with the top of our profit loss statement, revenue increased 50%. This increase was mostly driven by higher average selling prices, including RINs. ULSD prices were just over a $1 higher than second quarter of last year, while market prices for RINs were up $1.17 per RIN year-over-year. As previously mentioned by CJ, the increase in average selling price is partially offset by a lower volume of gallons sold. Our gross profit increased over 400%. A strongly rising feedstock market in the quarter was balanced out by the increase in ULSD, and the market RIN prices resulting in a marginal overall change in the HOBO + RIN spread of $0.07. Our incremental increase in gross profit, both on an absolute basis and as a percentage of revenues was driven by wider differentials between feedstock types as CJ outlined earlier. Other factors included a $36 million increase in gross profit for separated RINs, primarily driven by an increase in price per RIN sold and a positive $18 million swing in risk management. Gallons sold declined 11% versus last year, and were slightly below guidance, off 2%. Most of the year-over-year decline was driven by optimization of production and sales as we continue to focus on selling profitable gallons. In particular, production and scheduling decisions at facilities without pre-treatment capability and a 6 million gallon decrease in lower margin petroleum diesel were the primary drivers of lower volumes sold. In addition to these declines, self produced renewable diesel sales were 5 million gallons lower year-over-year due to sales timing in the quarter. A portion of these gallons were offset by a 2 million gallon increase for third party renewable diesel volumes sold. Though sales volumes decline margins were up across the board, and our strategic sales and production efforts led to increase profitability. As CJ mentioned earlier, second quarter adjusted EBITDA was $103 million beating guidance. The beat was mostly driven by the divergence in the cost of soybean oil versus lower carbon feedstock and our ability to take advantage of that Delta. RIN profitability also played a role as RIN prices continue to run up for much of the quarter relative to what we forecast at the time of guidance. Looking further at margins, second quarter adjusted EBITDA was up substantially, compared to second quarter of last year, driven by the same factors previously described for gross profit. SG&A expenses were up $7 million, driven by an increase to annual bonus accruals resulting from our strong first half financial performance and a larger vacation accrual due to COVID related deferrals of time off. Slide 19 shows trailing 12-month adjusted EBITDA and Slide 20 shows trailing 12-month return on invested capital. As the results show and as forecasted last quarter, our performance is well above our target after rolling-off last year's challenging second quarter. Our internal threshold for growth projects remains above 20% IRR and our target return on invested capital is above 15%. We recognize a small tax expense in the second quarter. Going forward, we expect our tax rate to continue to be less than 5%. Our blended average interest rate for second quarter was 5.7%. Going forward, assuming our only debt outstanding is the green bond, the interest rate will be 5.875%. Now, let's turn to the balance sheet. Before looking at our cash position, I'd like to take a step back and discuss the cost estimate for the Geismar expansion. We have identified some important enhancements to the existing plant and for optimal execution of both projects at the site, we decided to combine this project with the Geismar expansion into an overall Geismar improvement and expansion project. The final estimate for this combined project is $950 million. It is important to note that this number comprises a scope increase for the overall site improvement and is not due to cost inflation versus the previously discussed estimate of at least $825 million, which was just for the expansion portion. Financing for the project has been secured as planned, and I am proud of our team's disciplined execution and success in the capital markets. Our recent green bond issuance was oversubscribed with gross aggregate principal of $550 million at an interest rate of 5.875%. As a result, on June 30, we had over $1 billion in cash and marketable securities, including long-term marketable securities. As discussed in our last call, we redeemed all outstanding 2036 convertible senior notes in the quarter, settling the principal with cash and using shares for the premium. In addition, we paid off our remaining term debt. We now have a more simplified capital structure with financial flexibility to fund potential future growth projects.  Let's shift now to capital spend in 2021. We remain on track with our board approved small capital plan, which included roughly $20 million for safety, reliability, and asset integrity, roughly $30 million for high return, rapid payback projects, and $30 million for engineering for the Geismar expansion and other future growth projects. With the board approval of the Geismar expansion and improvement project, we now expect to spend approximately $100 million more in capital related to the Geismar project by the end of 2021. This includes financial outlay for spend on long lead time items. It's important to note that approximately 50% of all long lead items for the project have already been ordered with pricing locked in. Now, I would turn the call back to CJ to discuss the third quarter outlook. CJ?
CJ Warner: Thanks, Craig. I will now discuss our third quarter 2021 guidance, as well as the general outlook for the year ahead. For context, we anticipate ongoing volatility that's higher than normal. Vegetable oil upgrading continues to look relatively unattractive. Customer demand for our products continues to be encouraging. Given our ability to upgrade low CI feedstocks, systems optimization capability and focus on optimal product placement, we have a bullish outlook on third quarter. Note that our team built out guidance assuming status quo with the RVO. An announcement of expansion in the RVO would likely generate further upside. With that as a backdrop let's turn to the numbers as shown on Slide 23. For the third quarter, we're targeting adjusted EBITDA of $70 million to $90 million with gallons sold in the range of 160 million to 180 million. This guidance includes $6 million of estimated risk management gain for the quarter as of July 26. For the full-year, we're targeting gallons sold in the range of 590 million gallons to 630 million gallons, down slightly from 630 million gallons to 670 million gallons guided last quarter, due primarily to reduce petroleum gallons sold. Our production guidance remains steady at 470 million gallons to 500 million gallons. Of course, any changes to ULSD prices, margins, RINs, or LCFS credit values, or level of market volatility through the end of the quarter could affect actual results. Shipment timing could also affect the timing of revenue recognition. As we look ahead, we remain confident and energized. Our dedicated and resilient team navigated REG through the pandemic last year and built an even stronger foundation for success that's bearing fruit today. Demand for clean, sustainable fuels is growing rapidly and we believe we have the expertise and capacity to profitably fulfill that demand. We're poised for a large scale expansion and renewable diesel where a market leader in biodiesel operating efficiently and profitably and we're seeking to capture additional new downstream opportunities. Simply put, we've established a position to be at the right place at the right time delivering clean, high performance fuels now, and accelerating growth to deliver even more in the years to come. And now, I'd like to turn the call over to our operator for the question-and-answer segment of our call. Tom?
Operator: Thank you.  We'll take our first question from Manav Gupta with Credit Suisse.
Manav Gupta: Thank you, Craig, for clarifying that the increase in CapEx is not cost inflation, but increase in the scope of the project. So, help us understand what are the enhancements you are making to Geismar, logistics, feed? How does this make Geismar a better facility, this incremental 125 million in CapEx that you do plan to spend over there?
Craig Bealmear: Thanks Manav for the question. And I'll start and CJ can filter in. So, in terms of logistics when we are bringing feedstock in, it can be a mix of truck and rail. So, this is going to improve our rail handling capability, as well as giving us more logistics access closer to the facility. And some of the other improvements around reliability, but when you add up those investments, and when we looked at it, it's not just a benefit, you know, to the expansion, we discovered that this is an opportunity to prove the existing plant as well. CJ, I don't know if there's anything more you'd want to add?
CJ Warner: The only thing I would add, thank you Craig, is the actual IRR on the improvement project is better than the one for the expansion. So, it overall enhances the total site very nicely.
Manav Gupta: Okay. And the second quick follow up is, if you look at the actual indicator HOBO + 1.5xRIN it's down quarter-over-quarter from $0.92 to $0.84. The earnings are up meaningfully, and I think somewhere I think market is not giving REGI enough credit for the fact that the reason that is happening is because the indicator is based on bean oil, while what you are using is a lot more waste oil. So, help us understand besides the volume increase, which I understand quarter-over-quarter was 21% higher, what drove the earnings up so much when the benchmark indicator was actually down quarter-over-quarter?
CJ Warner: So, you're putting your finger on something that's really important. So, I think there are two margin markers to be thinking about with respect to REG’s operations. Of course, HOBO + 1.5xRIN’s is very important, but the other is analogous to the light, heavy differential and refining and it's really the low CI upgrade margin in our business. So, you're exactly what you were just saying is the, you need to watch the differentials. And there are times when that differential shrinks, and there are other times when it's wider, but it basically gives you a value to higher complexity conversion, which REG has invested in and does very well.
Manav Gupta: Thank you, CJ for those notifications and congrats on a good quarter.
CJ Warner: Thank you so much.
Craig Bealmear: Thank you.
Operator: We'll take our next question from Ryan Todd with Piper Sandler.
Ryan Todd: Great, thanks. Maybe, one – I think you talked about this a little bit, but can you help us understand a little bit more like the, we sales volume outlook for the year despite production volumes which remain unchanged? What's driving that? I it, I mean, it's the second reduction we've seen this year, what's driving the lower level of build volumes?
CJ Warner: Yeah. Hey, Ryan, thanks for the question. Yeah, the two factors are really – one of them is, we're selling less petroleum, the more we can increase our blending levels, which is a big drive for us, and one of the ones we try to emphasize for you, then we blend less petroleum in and the petroleum is blended because it provides convenience to the customer. But it's not our most profitable gallon.  So, we're actually really happy with that mixed improvement. And the focus really does need to be on production from that perspective. And then the only other adjustment is, we are in this environment, reducing the refined veg oil conversion and so those biodiesel gallons will also drop somewhat from an original estimate.
Ryan Todd: Okay, thanks. And then, well, most of the demand growth, and, you know, biomass based diesel is underpinned by mandates today, you've talked about some of the demand pool that you started to see, particularly in the off-road diesel markets like heating the oil and marine fuel, etcetera. Can you talk a little bit more about what you're seeing out there and what the potential may be for that over the coming years and what it could mean for the biodiesel side of your business?
CJ Warner: It is actually a really exciting part of what we see as the inflection point is, there's a growing desire to establish targets and figure out ways to meet those targets for de-carbonization and even getting to carbon zero in the 2030 to 2050 range for municipalities, whole countries and even for individual companies. And through that drive, there's a greater and greater interest on ways to do that that people can get started with now, and that don't cost them a huge amount for the transition. And bio-based diesel ends up being a really great solution that enables that to happen. So, you're seeing, you know, with the heating oil market, that's one example and marine is trying to figure out ways that they're going to be able to decarbonize and our products are a good contributor to some of the various things that they're thinking about, and a really nice and pretty easy switch for them. And you know, you're seeing the same thing happening in sustainable aviation fuel. And I think what we're seeing is a very interesting combination of the ongoing regulatory drive, but also a real customer pull, where there's a willingness to pay more for reduced carbon intensity. And so that private carbon market, I think it's starting to come into its own, it's very early days, but we're definitely seeing evidence of it.
Ryan Todd: Great. Thanks, CJ.
CJ Warner: Thank you.
Operator: We'll take our next question from Prashant Rao with Citigroup.
Prashant Rao: Good morning. Thanks for taking the question. CJ, I wanted to start off with some of these market demand expansion that we're talking about here, specifically in Europe with – , could you help us to understand, you know, REGI’s position, both your production in Europe, as well as volumes that you could export there? And sort of help us spread the needle on some of the intricacies? You know, one of the things that’s come up is there's some restrictions on the types of feedstocks that could be used to produce  going forward under Fit for 55, there's been some news also about five-year extension of tariffs, anti-dumping tariffs on U.S. bio-diesel into Europe. So, obviously an expanding market, but there are some details in there, so I just wanted to get a sense of how your positioned now and how you optimize to give volumes in the market to maximize your profitability in Fit for 55?
CJ Warner: Yeah, it's great to see the growing focus in Europe and it's great for us because we do have two-biodiesel production facilities in Germany. And with the tariff structure in Europe, it's really important to have production inside the EU. So, our biodiesel production facilities there are – they have pretreat so we run UCO and until they do operate with low CI feeds and use cooking oil gets double credits within the current structure for many of the member states in Europe. So, that's kind of a starting point for you to think about, but we're also positioned to be able to run some of the Gen 3 feedstocks that are being identified as part of RED II and the growing Fit for 55 plus package. So, we're definitely interested in that happening. And between that and the expansion from B7 to a B10 that's very bullish for us. I do want to emphasize that it's extremely early days for that Fit for 55 because it's established a really strong de-carbonization target, but the actual specific mechanisms of it have yet to be hammered out by all the member states. So, there'll be a lot of work that's going on over the coming months to get greater clarity about the specifics, but standing back from a big picture, I think we're very nicely positioned to be able to participate in what we believe is going to be bullish for significant upgrading of low carbon feedstocks into biodiesel.
Prashant Rao: Okay, great. And I follow up just on the SaaS market, we've been seeing an increased news flow of contracts with tie-ins between carriers and producers, just even over the last few months, I just wanted to touch basically to get an update on your positioning there, what you see in the pipeline, and, you know, are we seeing a bit more accelerated uptake here in the U.S. beyond just, you know, California mandates don't start till 2023 really, but seems like the industry itself is moving forward ahead of even where, you know, the regulatory framework, sort of targets, real ramps, so just wanted to get a sense of, you know, just a progress update there in terms of marketing and what you guys are doing on that front?
CJ Warner: There definitely is a growing interest in sustainable aviation fuel. So, of course, we're watching it very carefully. We've done work to prove that Geismar is capable of producing sustainable aviation fuel. And we've also done work to determine what we would need to do to get to a max jet mode with both the existing Train A and the expanded Train B at Geismar. So, we are preparing ourselves to be able to participate in that, but at this point, the market signals continue to drive us to produce on road bio-based diesel. So, we're basically in a place of preparation, I would say. We're also very clear that our belief is that as the regulatory discussions continue that having a level playing field from a point of de-carbonization is going to be very important, and not to overly incentivize one or the other. 
Prashant Rao: Great. Thanks so much for the time CJ. Appreciate it.
CJ Warner: Yep. Thank you.
Operator: We'll take our next question from Jordan Levy with Truist Securities.
Jordan Levy: Good morning all, and nice quarter. Just – my first question is on the downstream strategy. Clearly, the biodiesel renewable diesel blending looks to be really strong, some really nice growth there, I just want to see if we can get an update on some of the other downstream initiatives, you all have talked about in the past like fleet sales and things like that?
CJ Warner: Yeah, I would say, we're making very good progress. We're seeing growing enthusiasm for buying maybe even a different way in order for end consumers to get greater access and even preferred access to these types of fuels. So, we're not really ready to disclose exactly what's happening, but I can tell you that it's pretty exciting. And part of what we're doing with Manchester United is to get the word out more broadly. Because what we're finding, interestingly is, it's amazing how many potential customers are actually not aware of how much progress they can make simply by switching to bio-based diesel, until the more we can get the word out, the more really interesting opportunities are starting to emerge. So, we'll keep our finger on that pulse for you and hopefully be able to share more openly as some of the commercial aspects of things come through.
Jordan Levy: That's great. Thank you. And just a quick second one, you guys have talked before about interest in additional downstream transactions and, as well as a potential for additional renewable diesel projects outside of the Geismar expansion, I'm just curious, you know, what the pipeline looks like on the downstream side of things and then how you're, if there's any update to how your thinking about other renewal projects?
CJ Warner: Yeah, downstream continues to look really promising and in terms of renewable diesel, we're being – we have our eyes open and we're being highly selective because our belief is in this market. Renewable diesel investments need to be carefully chosen so that the RD production is highly strategically advantaged. That's why we chose Geismar because it's got multiple aspects to it, which we believe are advantaged and as we're looking at additional expansion opportunities, which we are continuing to evaluate, we're going to be really selective.
Jordan Levy: Thanks CJ.
Operator: We'll take our next question from Sameer Joshi with H.C. Wainwright.
Sameer Joshi: Thanks, guys. Thanks for taking my call and congratulations on a good quarter. Just following up on Jordan’s questions about downstream and the blend, sale of blends, in addition to just a lack of awareness amongst purchases, are there any other headwinds or hurdles that you need to overcome like distribution or logistics or any such?
CJ Warner: Hey, Sameer. There, you know, from a logistics standpoint that's part of what we need to build out. So, it's kind of an exciting part of a business actually, but it is an important part because segregation is important, especially when customers want to be able to demonstrate to their customers that they're de-carbonizing. So that's definitely something that we're working on in the process of developing. I think that's astute of you to ask about that.
Sameer Joshi: And just couple on Geismar, are you going to be announcing any milestones or should investors be looking for any big announcements related to the development, ongoing development there?
CJ Warner: Well, once you go into construction phase, the really big milestones are simply whether you're still on track for that completion date. So, we'll keep everybody up to speed with that. And other than that, most of the really big hurdles are actually already in great progress.
Sameer Joshi: Okay. And just one macro, last question on RD, are you seeing additional capacity starting to build and adding to your competitive pressure or is the demand just market so huge that you would welcome additional participants in this?
CJ Warner: Well, I think if you look at the total suite of announcements of RD plants, and the timing of those, it's very likely that it's going to have a near-term effect on margin, which is why we focus so much on strategic advantage for the RD molecules that we're planning to produce. In the macro sense, we need even more than what's already been announced. So, it's really a matter of timing. And the interesting thing as one contemplates to that is, that the regulatory requirements are flexible and the regulatory regimes such as CARB, have said in the past that, you know, they're trying to manage the credit price within a certain range. And if the range got too high, they would back off on the rate of change of CO2 reduction, and if the price got too low, they could actually ratchet it up and make more progress. We've seen their willingness to do that in the past when the price did ramp up a little too quickly. And they modified the rate of improvement that was a couple years ago. So, we are fairly confident based on their own intentions that if we did have a short-term spurt of additional supply, that was causing credits in California to come down too rapidly, CARB is very likely to simply take advantage of that to achieve their own goals a little bit faster.
Sameer Joshi: Understood, thanks for that. I will take my other questions offline. Thanks.
CJ Warner: Hey, thanks.
Operator:  We'll go next to Hamed Khorsand with BWS Financial.
Hamed Khorsand: Hey, good morning. First question I had was, how durable is this performance that you had in Q2 as you look out in Q3, Q4, and even next year with the competitive landscape, and, you know, the ability of just being able to source other feedstock beyond soybean oil?
CJ Warner: Yep. Well, you kind of have to unpack that into the various parameters of performance, but we feel very strongly that what we've built up is actually somewhat competitively unique, especially because we have reasonable quantities of both renewable and biodiesel, which gives us an upside and access to different markets. Our suite of plants themselves are geographically diverse. We have a really good diversity of feedstock conversion capability, and a significant diversity of procurement capability. So, we believe all of that gives us upside, even in a competitive market. And we will continue to expand our capability both in procurement, the types of feeds that we bring in, and the types of feeds that we can process, as well as the markets that we're accessing, and all of those I think, do give us a competitive advantage that helps to make our performance a lot stickier. You know, I can't predict what's exactly going to happen with the margins. And I'm sure there will be ebbs and flows there, but in terms of being able to participate in this clearly growing market, which I think is here for the long haul, we're very well-positioned in our view.
Hamed Khorsand: You're not fearing that your amount of produce gallons could decline if you're not able to source enough feedstock?
CJ Warner: Well, obviously, procurement is a really important aspect to enable you to do that, but we have a world-class procurement team that's been able to grow the amount of feed that we procure by about a 25% CAGR now for the last 10 years. So, they're really good at doing that. We continue to go worldwide. We continue to have a really great pipeline of additional feed capability. So, that's an important focus for our performance, but it's not something we're particularly worried about.
Hamed Khorsand: And lastly, if I may, is there any update on your downstream strategy?
CJ Warner: Well, you know, other than the tangible things that we can share openly in terms of the level of blends going up, we don't have anything specific to announce, but I can tell you the enthusiasm that we're being met with through our customers continues to grow. It gives us a lot of excitement.
Hamed Khorsand: Okay, thank you.
CJ Warner: Thank you.
Operator: We'll take our next question from Matthew Blair with Tudor Pickering Holt.
Matthew Blair: Hey, thanks for taking my question. Good morning, CJ, Craig, and Todd. CJ, you mentioned you shifted more gallons to California in a way from Norway, could you share your general exposure to the California market, either as like a percent or maybe in gallons? And then also, how much are prices in other markets connected to what's going on in California?
CJ Warner: Yeah, Matthew, so it is a worldwide market now, which gives some great opportunity for optimization. This is basically why we focus so much on logistics access, because it gives us optionality. And it guides more because we have logistics that gives us water access. At any given time, we're evaluating shipments to California, Norway, British Columbia.  Those are really our three biggest markets, but we do ship to others as well now. And if you stand back and look at it largely, largely over the last couple years, we ship about a third to each of those three markets in terms of total volume. But we do watch market signals very carefully, and as the market signal switch, which they will do, we can switch where we're actually routing our feedstocks, or our products rather.
Craig Bealmear: CJ, I think it's fair to say when we were building up the third quarter guidance, you know, we do actually had sales going into Norway in the third quarter, which is just an example of, you know, that optimization that we look at every day.
Matthew Blair: Sounds good. And maybe sticking on Q3, so CJ you talked about how the low CI upgrade margin widened out in Q2, how was that trending so far in Q3, has there been any reversion or is it still holding a pretty wide level?
CJ Warner: And well, it keeps being very volatile. So, it's a little hard to predict because of all those factors that I shared in the script that were going on. However, we do see a reasonably bullish market for third quarter for that low CI feedstock upgrading margin.
Matthew Blair : Great, thank you.
CJ Warner: Thank you.
Operator:  We'll take your next question from Jason Gabelman with Cowen.
Jason Gabelman: Hey, thanks for taking my questions. I first wanted to ask about the benefit from selling RINs from the  this quarter, just any update, quantification of the benefit to EBITDA there? And have you included any benefit from selling RINs from the  in 3Q guidance? And then secondly, just to put the comment about this additional Geismar project, the IR being stronger than the base expansion project into context, could you just describe – would you expect margins at the base Geismar plant to be flat without investing in this project or would they decline and, you have kind of a good IRR, because you're going to be able to offset that margin decline from this logistics project? Thanks.
Craig Bealmear: Jason, this is Craig. And thanks for the question. So, you know, the monetization of RINs quarter-on-quarter, you know, and if I do it relative to guidance, it was a portion of the beat, but it was not the largest factor of the beat. I'm not going to give you a precise number, but it was in that range of 5 million to 10 million, and most of that was actually coming from better average selling price of the RINs, not so much selling more RINs themselves. And you know, and we do have a strong  going into third Q that we will look to monetize. And that's kind of part of what's going into the guidance for Q3.
CJ Warner: In terms of Geismar, the logistics enhancements for Train A are primarily focused on what we're doing with Train A now, and so I'm not exactly sure that I'm answering your question, but I think overall, the two can be separated as separate projects from a financial standpoint, but it was really important for us once we really thought about the logistics of the construction and managing all that on one site. We want to manage it as a single project.
Jason Gabelman: Got it. Yeah, the question was more of what happens to margins if you don't do the project, do they stay flat or do they decline?
CJ Warner: Yeah, the Train B expansion margins have a fairly conservative assumption behind them in terms of our economic justification for the project that was important for us to do, again, to test its strategic longevity. But the project for Train A doesn't affect that one way or the other.
Craig Bealmear: Yeah, Jason, the way I would hold the improvement bit of the project as we talked about wanting these high return quick payback projects, and this is a high return quick payback project. It just so happens, it's now the first one that's got a benefit both the existing plant, and the new facility as well.
Jason Gabelman: Alright, got it. Thanks. Appreciate the answers.
CJ Warner: Yeah, thanks a lot.
Operator:  We have no further questions in the queue. Mr. Robinson, I'd like to turn the call back over to you for any closing comments.
Todd Robinson: Thank you, Tom. We do have two investor conferences scheduled for August and one in September, which are shown on Slide 24. Before I walk through the conferences, please note attendance at these conferences is by invitation only for clients of each respective firm. So, interested investors, please contact your respective sales representative to register for one-on-one meetings to secure a time. The first conference is Monday, August 16 when we will participate in the Beating Wall Street Virtual Financial Growth and Value Summer Investor Series. We will host one-on-one meetings with institutional investors throughout the day. Then on August 17 through the 19th, we will participate in the Piper Sandler Energy Transition Leaders Summit in Aspen, Colorado. Note that this is in person only. We will be participating in a panel at 1:00 P.M. Eastern, 11:00 A.M. local time on the 18th and holding investor meetings throughout the day. On Wednesday, September 8, we will participate in the Cowen Virtual Global Transportation and Sustainable Mobility Conference. We will participate in a fireside chat at 11:20 A.M. Eastern, 10:20 Central Time, and we'll host virtual one-on-one meetings with investors throughout the day. Thank you all. This now concludes the call. You may now disconnect.
Operator: Thank you ladies and gentlemen. Again, this does conclude today's conference. We appreciate your participation. You may disconnect at this time and have a great day.